Operator: Good day, and welcome to today's CNH Conference Call and Webcast. At this time, I'll hand the call over to Jason Omerza. Please go ahead.
Jason Omerza: Thank you, Serge. Good morning and good afternoon to everyone. We would like to welcome you to the webcast and conference call for CNH Industrial's Fourth Quarter and Full-Year Results for the period ending December 31, 2022. This call is being broadcast live on our Web site, and is copyrighted by CNH Industrial. Any other use, recording or transmission of any portion of this broadcast without the expressed written consent of CNH Industrial is strictly prohibited. Hosting today's call are CNH Industrial's CEO, Scott Wine; and CFO, Oddone Incisa. They will use the material available for download from the CNH Industrial Web site. Please note that any forward-looking statements that we might be making during today's call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included in the presentation material. Additional information pertaining to the factors that could cause actual results to differ materially is contained in the company's most recent report 20-F and EU annual report, as well as other periodic reports and filings with the U.S. Securities and Exchange Commission, and the equivalent authorities in the Netherlands and Italy. The company presentation includes certain non-GAAP financial measures. Additional information, including reconciliations to the most directly comparable U.S. GAAP financial measures, is included in the presentation material. I will now turn the call over to Scott.
Scott Wine: Thank you, Jason. And thanks, everyone, for joining our call. We finished 2022 with solid results as fourth quarter revenues were up over 27%, driving full-year consolidated revenues up 21%. Deliveries and product mix improved in both Agriculture and Construction. Our strength was broad-based, with double-digit year-over-year price realization coming from all regions. We expanded profit margins in both Agriculture and Construction despite significant input cost increases. The industry faced many other headwinds during the year, including a choppy supply chain, elevated freight costs, and ongoing inflation. Late in the year, these issues began to modestly improve. And we anticipate that will continue into 2023. The CNH team's creativity, hard work, and strong execution resulted in company records for both adjusted net income, up $2 billion for the year, and adjusted earnings per share, at $1.46, up 14% over 2021. We also generated $2 billion in free cash flow from industrial activities in the fourth quarter and $1.6 billion for the full-year as we over-delivered on our plans to complete and ship our accumulation of partially built units. This benefited our dealers and put us in a net cash position well ahead of our plan. Last year, we launched two potent margin improvement initiatives, the Strategic Sourcing Program, and the CNHI Business System, which we refer to as CBS. Continuous improvement is hard, especially in pursuit of breakthrough results. But our team has embraced this lean mindset, and is poised to deliver value across the business. Looking ahead, we remain focused on executing our strategy, including significant investments in out tech stack and product development. Derek Neilson and his team continue to drive exceptional performance, delivering a strong fourth quarter, with full-year net sales for the AG business up 22%. This growth was largely propelled by robust industry demand and significant year-over-year price realization, especially in North and South America. We saw improved product mix, including Precision AG revenues up 32%, which benefited from both an increased take rate for factor-fit precision options and incremental rate in sales. AG profitability remained healthy, with Q4 gross margins up 280 basis points, and adjusted EBIT margin up 310 points admittedly against an easy comp. Margins were down sequentially versus our record third quarter performance impacted by regional mix and the non-standard work required to finished units. Overall, I'm extremely pleased with the AG team's performance and results. For 2022, AG adjusted EBIT was nearly $2.5 billion, marking our highest profit in more than a decade. We are executing on our customer-centric strategy and customers have responded with continued demand for our high-end products at prices offsetting increased escalated production cost. They have also recognized us with improved net promoter scores, 5% higher than in 2021. Derek and his team are ensuring that customer is at the center of all we do, driving the right behaviors and results. Stefano Pampalone and his Construction team executed quite well in the fourth quarter with strong momentum from Sampierana integration, manufacturing improvements, and enhanced customer focus; we expect even better progress in 2023, and beyond. 2022 net sales were up 16% for both the full-year and the fourth quarter, with noteworthy growth in Europe and South America. Organic growth accounted for about two-thirds of the increase in the remainder, with the remainder attributed to Sampierana. Their excavator portfolio and technology innovations have enhanced our ability to meet customer needs, and their Eurocomach platforms provide an outstanding foundation for electrification. Construction adjusted EBIT for the quarter was $34 million at a 3.5% margin. Full-year adjusted EBIT was up 38%, to $124 million. And we are encouraged by the ongoing progress in Construction. The team is well-positioned to deliver on their strategic initiatives, support their dealers and customers, and gain market share. This past December, we held an engaging Tech Day to showcase our extensive suite of precision AG technology. Attendees met our deep team of experts in automation, autonomy, and connected platforms to better understand the cutting edge products we are developing. Through a series of live demo stations, the team exhibited the real world applications of our groundbreaking [Smart Iron] [Ph]. The products and technology that we demonstrated at Tech Day that you see here on this page and those we will be releasing over the next few years, prove our commitment to being a leader in precision agriculture. We reiterate our expectation to deliver over $1 billion of Precision AG sales in 2023. I also want to highlight two recent investments made through our CNH Industrial Ventures arm. Stout Industrial Technology is a U.S.-based startup focused on AI-powered smart agriculture implements. EarthOptics has proprietary sensor technology that precisely measures soil health and structure. By taking minority stakes in these and similar companies through our Ventures portfolio, CNH is staying on the cutting edge of emerging technology to develop solutions to provide real advantages for customers. CHN remains committed to adding value and creating profitable growth for its customers and shareholders through sustainability. We have a strong history of sustainability performance as evidenced by our recognitions and our innovative products, including the New Holland methane tractor and electric mini excavator pictured here. In 2022, we pledged to set science-based targets that will enhance our operation's Scope 1 and 2 emissions goals, and establish a first-time decarbonization goals related to our products, which we'll announce later this year. With that, I will turn it over to Oddone to take you through our financial results. Oddone?
Oddone Incisa: Yes, thank you, Scott, and good morning, good afternoon to everyone on the call. So, fourth quarter net sales from Industrial Activities, of nearly $6.4 billion, were up over 27% net of adverse FX impacts. Full-year net sales of Industrial Activities, of $21.5 billion, were up 21% or over 24% at constant currency. Continued price adjustments were significant drivers for the top line growth in the quarter, and volume and mix also accounted for around 15% sales increase from Q4, 2021. Our Industrial segment's fourth quarter gross margin was 21.7%, and 22.2% for the full-year. The year-over-year margin improvement, of 1.5 points, is mainly due to strong and profitable growth in South America, and disciplined price realization globally, which more than offset rising productions cost. Q4 adjusted EBIT came in at $680 million, up $302 million from 2021, with a corresponding EBIT margin of 10.7%, a 310 business points improvement versus prior year. Full-year adjusted EBIT of Industrial Activities was $2.4 billion with a margin of 11.3%, up 140 basis points from 2021. Free cash flow from Industrial Activities was $1.6 billion in 2022, which turned our initial Industrial Activities net debt into a net cash position of $362 million at the end of the year, as Scott discussed in his introductory slide. Adjusted net income for the quarter was $486 million, up $61 million compared to prior year. This resulted in adjusted earnings per share of $0.36, up $0.05 year-over-year, and full-year adjusted EPS was $1.46. Adjusted net income for the quarter was affected by a higher tax rate due to discreet items booked in Q4. The full-year adjusted effective tax rate was about 28% mainly due to the jurisdictional mix of pre-tax profit with higher rates coming from South America. And we will likely see the tax rate a point or two lower in 2023. Available liquidity, as of December 31, was $10.6 billion. And at the Annual General Meeting, the Board of CNH Industrial is planning to recommend an annual cash dividend of $0.36 per common share, totaling a little over $500 million in distribution to shareholders. In the fourth quarter, strong volumes and double-digit price realization continued to shield us from the steep increase in production costs. R&D and our SG&A expenses were higher by technology investments, inflation, and newly acquired businesses. Energy costs increased year-over-year but still accounted for about half-a-percent of our total costs worldwide. Agriculture adjusted EBIT increased by $287 million, to reach $701 million with a margin of 13.1%, up more than 300 basis points from the same quarter in 2021. The higher profits were driven by higher volumes and favorable pricing, which offset higher products cost, SG&A, and R&D expenses. Gross profit was up $394 million compared to Q4 2021, exceeding $1.2 billion with a margin of 13.1%. For the full-year, gross profit was up $989 million or up 140 basis points from 2021 largely driven by strong price realization coming from all regions and better product mix, including margin-rich technology-related sales growing by about 32%. Construction Equipment adjusted EBIT for Q4 increased by $14 million compared to Q4 2021, reaching $34 million with a margin of 3.5%. These results were driven by favorable volume and positive price realization. But product cost, including site-related costs, were an outsized headwind for the business. Gross profit across the year was up $82 million compared to the full-year 2021, mainly due to higher volumes and stronger pricing. For our financial service business, net income in the fourth quarter was $75 million, down $50 million compared to 2021. Factors include high risk cost, provisions linked to the termination of the construction business in China, increased labor cost, and compressed margin in North America slightly mitigated by robust volumes across the region as well high recovery on those agreements. Retail originations were $2.9 billion in the quarter reaching $10 billion for the year, up to $100 million from 2021. The managed portfolio at the end of 2022 was $23.8 billion, up $4 billion on a constant currency basis. Delinquencies remained at a low level, up 10 basis points year-over-year to 1.3%. Increase from December 2021 is explained by the in-sourcing of the resolving credit account portfolio that was purchased in October 2022. CNH Industrial Capital America acquired receivables previously held by CD on a private label program that will now be run and booked by our company. Free cash flow from industrial activities in the quarter was over $2 billion on the back of $1.5 billion change in working capital driven in large part by the reduction in manufacturing inventory as we mentioned before. At the end of the year, the total gross debt for industrial activity was $5 billion with a net cash position of $362 million. So, within the first year of the spin-off, we were able to improve our net financial position by $1.5 billion on the back of the cash generated by the operations. This takes to our capital allocation priorities. And we have target spending $4.4 billion in combing R&D and CapEx over the 2022 - 2024 plan period, almost doubling what we were spending in the previous three years. In 2022, we spent the first $1.3 billion of that. And we remain committed to invest in our business to fuel profitable growth. We are confident the product and service we would bring to the market with the spending will ensure higher financial performance in the near future, and more importantly, higher efficiencies to our customers. Strong cash generation helps us maintaining our investment grade rating which has been re-affirmed or improved by all the rating agencies after the spin-off. We returned nearly $600 million to shareholders in 2022 through dividend and share repurchases. And as mentioned earlier, we proposed -- the proposed 2023 dividend itself will total above $500 million. And we plan continuing our share buyback program. We have the liquidity to funding organic growth and you are seeing use the ventures on for minority investments when opportunity arises. We remain committed to our capital allocation strategy and focus on maximizing value for our shareholders. This concludes my prepared remarks. And I will now turn it back to Scott.
Scott Wine: Thank you, Oddone. Overall, demand continues to outstrip the industry's ability to supply at least in the near term, which despite record sales has actually dampened the industry levels. Spot commodity prices are trending down. But they are still generally above pre-2022 levels. And fortunately for farmers, fertilizers and other input cost are dropping as well. In North America, elevated farm incomes are sustaining demand for high horsepower tractors and combines. While small tractor demands has slowed from a lofty level seen over the past two years. We see the European Ag industry flattening as the macro-environment starts to impact equipment demand there. South America and Brazil in particular is a very good market for us. The business conditions in Brazil are inflexed following a presidential election. But we believe that the fundamentals are still positive for agriculture in the region. We also see good long-term opportunities in APAC. But this year will likely be slightly down. In construction, global demand is trending is lower. And we expect residential and commercial markets in North America and Europe to decline in 2023 due to rising interest rates. However, public construction spending at least partially fills in those gaps in United States. In Europe and South America, construction markets will be down in reaction to the overall macro-environment. We expect net sales of industrial activities to increase 6% to 10%. With confidence in the stickiness of our 2022 price increases, we expect to build on our margin gains by taking more cost out of our system. We are committed to growing market share. And we have the products, brands, and dealer network to do just that. Returning to full production in our North American plants will also help. Our SG&A as a percentage of sales remains one of the lowest in the industry. And despite inflationary pressures, we will severely limit SG&A growth. Free cash flow will be between $1.3 billion and $1.5 billion. A little lower than last year as we have earmarked $1.6 billion for R&D and CapEx, up about $300 million from 2022. Even accounting for the increased R&D cost, our EBIT is projected to grow slightly faster than our top line. We are becoming a simpler, leaner company every day. And expect to modestly improve our industrial margins throughout the year. Earlier today, we announced that our Board of Directors has determined that our shareholders would be best served by a single listing in United States. The majority of our trading in CNH Industrial stock has been shifting to the New York Stock Exchange since the snip-off of Iveco Group. Revealing that CNH's new business profile and investor base better fit with the single New York Stock Exchange listing. Concentrating trading in one market will allow for increased liquidity of our stock, improve investor focus, further simplify the company's profile, enable broader index inclusion, and attract more passive investors. The current Italian regulations only permit the delisting of stocks when they are or will be listed on another EU exchange. By definition, the stock exchange does not qualify. CNH Industrial has an open dialog with Borsa Italiana on Euronext. And we told them about of our intention to leave the European listing. The harmonization and modernization of the Italian financial system, which is underway, is expected to include the New York Stock Exchange as an acceptable exchange. This is our preferred path for smooth delisting from Euronext Milan. But not the only option if this becomes untimely. We are targeting sole trading on NYSE by the end of 2023. But that could shift into 2024 depending on the timing of the regulation change. Rest assured, we will delist it soon as it is legally possible. At this point, we do not intend to change our incorporation in the Netherlands or our tax domicile in U.K. as part of the single listing. Therefore, we do not expect any material tax or trading consequences for our shareholders. Our Board of Directors and management team are grateful to Euronext Milan for being our listing venue for the past 10 years, and excited about the company's full return to the NYSE. I want to stress that this does not change the company's longstanding commitment to Italy and the Italian market. CNH employees over 5000 people in Italy made a significant investment with Sampierana acquisition in late 2021, opened its fifth plant in the country in 2022. We also have three R&D centers in Italy developing products that are sold around the world. While the delisting is another step in corporate simplification, real value creation comes from the business. We are now taking orders into Q4 in some markets. And overall demand remained strong. But the uncertain macro-environment, especially toward the end of 2023 requires vigilance as we strive to support our customers, dealers, suppliers, and employees. We expect to escalate combine CapEx and R&D investment as we launch exciting new products and build out the tech stack. We have already introduced some Raven-enabled products, and we will unveil more in 2023. But the real payoff for these higher margin precision solution kicks in 2024. We are happy to have finally secured a contract with UAW North America. The agreement we reached is fair for our employees and sustainable for the company. Employees returned to work this week. And we expect the two affected plants to ramp up to full production in the coming months. While the pace of inflation is slowing, it is still inflation. And we expect it to have an impact on our manufacturing, energy, SG&A, and R&D cost in 2023. On a more positive note, we are seeing modest supply chain improvements. Our primary margin improvement initiative, strategic sourcing, and CBS will start to yield results in 2023. I want to close by emphasizing again how proud I am of the team for what they have accomplished. And ensure you that we are ready to do even more in 2023. That concludes our prepared remarks. And I will now turn call over to Serge to open the line for questions.
Operator: Thank you, sir. [Operator Instructions] And our first question comes from Kristen Owen from Oppenheimer. Please go ahead.
Kristen Owen: Hi, good morning. Thank you for the question. Scott, you talked about some of the industry demand outlook for 2023, I was wondering if you could comment more on some of the order book trends that were outlined in the press release? If I recall, last quarter, you talked about some of the year-over-year declines being driven more by your intentional decision to keep order books relatively short. How far are you open now, and maybe just say more about how you view demand versus order levels for 2023?
Scott Wine: Yes. As we talked about, the macro environment is -- it's choppy a little bit, and you see that in everything you read. But our order books really are not open. We haven't opened up Q4 in any markets yet, and we still are allocating. So, a lot of what's happening in the order book is our choice to allocate markets. I mean it's -- I'm not proud of the fact, but we have not delivered on a timely manner in much of 2022. The one market where we've been very clear is down is low horsepower tractors. So, we are seeing softness there. And I mentioned, I referred to the political situation in Brazil, it's really provide a -- just taking farmers, I think, are just taking a pause. We think the fundamentals in that market are incredibly strong; the world needs that agriculture production and they need equipment in order to do that. But we're just watching that very closely. But overall, Europe is a little bit slightly down, but we feel good about our ability to execute and keep that market relatively flat to the way it was in 2022. So, overall, I think the demand environment is better than I would have expected to be at this point. And we're really, I mean, running our factories as fast as we can and as much as we can through the year, and just being careful as we look at the fourth quarter. The fourth quarter is where we are being cautious at this point. We don't have orders for that yet, but where we have talked about it, I think we could open that up and probably book it very quickly.
Kristen Owen: Okay, that's helpful. And then just as a follow-up to that question, just how you're thinking about dealer inventory levels existing 2023, do you expect to produce in line with dealer inventories, builds, just any comments you have there?
Scott Wine: We are still -- again with the exception of the low horsepower tractors, we are still below historical levels, and really, quite frankly, still below where most of our dealers would like us to be with our inventory. So, we're going to work to catch that up. We do not plan to get back to historical levels. We'd like to keep inventory relatively lean. It's careful balancing there, because you're running as fast as you can to provide shipments, and the market is going to slow down at some point. But no, we are not looking to push a lot more dealer inventory into the channel. We've got some dealers build that we've got to do just to give them acceptable levels of inventory. But our goal and part of what we're watching for is to make sure we protect dealer inventories going into 2024.
Kristen Owen: Great, thank you.
Operator: Thank you. Our next question comes from Steven Fisher from UBS. Please go ahead.
Steven Fisher: So, thanks. Good morning. Just on the Q4 order book point, just curious, Scott, why haven't you opened up the order books yet? And what will you need to see to fully open them up for Q4?
Scott Wine: Steven, it really refers to, and again I'm not proud of the fact, just our inability to deliver in a timely manner. I mean, we've got the backlog, especially in our high horsepower tractors, that is quite long. And I think we're just trying to get more confidence in our ability to deliver. We -- again, inflation is -- it's not rising anymore, but it's still out there. So, we also are making sure we manage our cost. You know, Derek and Stefano are really doing a nice job of managing cost inputs in their business, but it's really that making sure we balance the cost-price equation, and you've seen from our history, we're really good at doing that. But also, ensure that we can deliver when we say we're going to deliver if we open up the books.
Steven Fisher: Okay, that's fair. And then, I guess, in terms of the AG margins for 2023, can you maybe just give us any color on the puts and takes there? I imagine there were a number of inefficiencies in production, in 2022, due to the strike and the supply chain, and then you have Precision AG mix should be helpful, I would think, for 2023. So, can you talk about some of those puts and takes, and then what you're expecting for price versus cost in 2023?
Oddone Incisa: Let me take this, Steve. Yes, you predicted -- you pretty got it. I mean we expect 2023 to be a play of cost more than a play of pricing. We expect steel to be positive price over cost, as we have been throughout 2022. But the big game will be in getting cost out of the production system and reducing cost on to the production systems. And that's a combination of having a smoother supply chain, and a more organized cadence, and possibly getting some improvement in -- from our strategic sourcing program. That probably will kick in more at the end of the year rather than in the beginning of the year. But that's what we're looking at. And we have some carryover pricing for 2022 still coming in. And then you mentioned as well growing sales in tech, and which have generally higher margin than the pure equipment.
Steven Fisher: Okay, thank you.
Operator: Thank you. And our next question comes from David Raso from Evercore ISI. Please go ahead.
David Raso: Hi, thank you. I'm just trying to square up the implied volumes. When you look at the price -- sorry, the revenue guide, of the 8%, I mean, currency shouldn't be that much of a drag at these levels. So, and it looks like it's mostly just price in the revenue guide. Is that the right way to interpret it, that basically volumes are flat? And if that is the case, if you can give us a little flavor where volumes up versus down just so we kind of square up any chance of overhead absorption?
Scott Wine: Volumes are up slightly, modestly -- I don't know, slightly modestly defined there, but it's low single digits. North America is really where we see the greatest strength, and where we see the biggest backlog and where we've got the most work to do. So, I think that'll be the volume play there, to a great extent. And the rest of -- there's still lots of work to do to deliver in other areas of the world, but that really will be where most of the volume comes from.
David Raso: And that's more of an -- large AG comment, and I know the units are bigger [multiple speakers] --
Scott Wine: No, you go it. It's high horsepower tractors and combines, and in that order.
David Raso: And Oddone, the comment about steel -- more about steel than price, and so I understood what you were implying there, do we still think our steel costs are up year-over-year more than price? And it's all wrapped in a thought around do we think gross margins can expand in '23? I just want to make sure I understand that [indiscernible] margin comment.
Oddone Incisa: And I'm sorry if I wasn't clear. I was talking cost, so price over cost, in general. And cost includes raw material, but in general, cost, so all of our production cost.
David Raso: But so -- so, price-cost expected to be positive for the year to margin?
Oddone Incisa: Yes.
David Raso: Neutral to margin?
Oddone Incisa: Yes.
David Raso: Positive margin?
Oddone Incisa: Positive -- 
David Raso: So, if volume is up a little bit and price costs should be net positive to margin. I assume we can infer from that gross margins are expected to expand?
Oddone Incisa: Yes.
David Raso: As well as SG&A grow slower than sales growth with -- at least that was in the guide. That correct?
Scott Wine: That is exactly correct.
Oddone Incisa: What we're looking at.
David Raso: All right, thank you so much. And I appreciate the detail on delisting. Thank you.
Operator: And our next question comes from Jamie Cook from Credit Suisse. Please go ahead.
Jamie Cook: Hi, good morning. Nice quarter. I guess just two questions. Scott, given the performance that you've put up -- the positive financial performance you've put up, can you talk about how you're thinking about the AG cycle, and the implications for your 2024 financial target, whether you think there's upside there? And then, I guess, my second question, just an update on Raven and where we are relative to your synergy targets? Thank you.
Scott Wine: Okay. Well, first of all, if you go back a year, to Capital Markets Day, we're obviously much -- 2022 played out significantly better than we expected. And unfortunately some of that driven by soft commodity prices impacted by the war in Ukraine, which we couldn't have anticipated. But overall, '22, and then as we look at '23, are both better than we had anticipated from that. But that's really market related, not our -- our performance is actually doing quite well. As we look at our 2024 targets, we obviously feel like we're on a path to do better in some areas, but we've got work to do in some areas. So, we feel like, generally speaking, we set ambitious targets, and we're on path to hit those. But we are -- I don't want to be a pessimist, but I just think '24 could be a -- we talked about, it could be a more difficult year. The AG cycle though, as I talked about in my prepared remarks, soft commodity prices are still at relatively good levels. And it looks like that could hold. And farmer income is still at elevated levels. And their -- their reluctance to pay taxes, and therefore their desire to by equipment still makes a good setup for the AG cycle. It won't stay positive forever, but we feel like, right now, we're not about to call that starting to turn negative in '23. As far as Raven concern, I'm honestly not sure I could be more positive on how well that integration has gone. We committed to a reverse integration because we like the team and we like the culture. And our team has embraced that. We are learning from their agile customer-focused system, and we're building on that, giving them the tools and resources. We've done a tremendous amount of hiring. And really, it's -- we talked about new Patriot sprayer that we brought out with full Raven capability. We'll embed their tools in everything that we can, going forward. But really, integrating them into our tech stack is where the real value unlock is. Huge aftermarket opportunities there, retrofit opportunities in Raven. But overall, I'm just really pleased with how the team -- both the Raven team and our team have done to bring value and overdrive on our synergy targets.
Operator: Thank you. We'll now move to our next question from Dillon Cumming from Morgan Stanley. Please go ahead.
Dillon Cumming: Great. Good morning, guys. Thanks for the question. Just wanted to ask on some of the more producing credit margin improvement opportunities you mentioned. You called out the sourcing program and CBS starting to ramp in the quarter. I know Oddone mentioned it would still be a bit more back-half-weighted. But could you just maybe earmark kind of how much more of an opportunity that could be on more of a dollar basis or a margin basis, so just trying to get a sense of kind of quantifying what the tail end could be next year?
Scott Wine: Yes. Well, remember, we actually are not -- our CBS and lean initiatives are not are not starting from nothing. And we've got a great history with WCM and pulling lean tools throughout the plant network. What we're looking to do is how do we deploy that in other areas of the business, and accelerate it in the plants. And I think that's what you'll see taking shape this year. And obviously, the -- that's -- the opportunity is quite significant, but what the teams are working on now is how do we just push back the cost input using various lean tools to get back to where costs were pre-pandemic. And that's a lot of heavy lifting. But Oddone referred to it, 2022 was the year of price, and 2023 is going to be a year of cost focus. And our lean tool will be a significant way that we get after that. But more importantly, it's a way we get after delivering value for customers. It's not about just taking cost out, we're going to use those tools to make quality better, to make delivery better, and overall, help us expand margins. The -- that's, I wouldn't say, short-term, but we can do those, that we did that -- some of that work in '22. We're accelerating the work in 2023, so a great opportunity, across the business, to use those tools to create value and expand margins. Strategic sourcing is a longer-in-the-tooth program. It's probably -- it got kicked off last summer and fall. We've got a strong team working through it. But that will show some results later this year, but really start to drive notable margin expansion in '24, and beyond. But both of those, I would say, near-term opportunities with our CBS initiatives, more significant long-term opportunities with strategic sourcing.
Dillon Cumming: Okay, that's helpful color. Thanks, Scott. And then just with my follow-up on the Precision AG revenue target, I think, Oddone, you mentioned that you exited the year up 32%, you were originally guiding, at the Tech Day, it's up 11% in 2023. I know it's still a fairly recent target, but just given that exit rate, would you consider any upside to that $1 billion target for '23 at this point?
Oddone Incisa: I will stick to that target for the time being.
Dillon Cumming: Great, thank you.
Operator: The next question comes from Tami Zakaria from JPMorgan. Please go ahead.
Tami Zakaria: Hi, good morning. Thank you so much. So, just to get some color on the volume expectation of low single-digit, is that higher for AG, call it mid single-digit, but negative for Construction, so that nets out to a low single-digit growth for the overall company. Is that how we should be thinking about it?
Scott Wine: No, it's actually -- the Construction business and backlog is quite good. Despite a difficult overall environment, we had so many limitations last year in our ability to produce, that that business is actually reasonably good. So, both businesses will have positive volume in 2023.
Tami Zakaria: Got it, that's super-helpful. And then second question, what kind of incremental margin should we expect in AG and Construction segment this year?
Oddone Incisa: I will go to the -- I mean, in line with what the kind of incremental margins that we have had over time, and no big difference from that. Probably a little bit more on Construction because we have -- Construction was more affected by some of the cost headwinds this year, but for AG, I will use -- it would be pretty much in line what we have had in the past.
Tami Zakaria: Got it. Thank you so much.
Operator: And our next question comes from Mig Dobre from Baird. Please go ahead.
Mig Dobre: Good morning. And following up on Construction here, I'm wondering if you can give us maybe a little more context around the order book here and the declines that we've seen in both heavy and light equipment. Are you limiting the order book in Construction similarly to what you've done with AG? And I'm also curious, and in your own outlook for 2023, for the industry, are you seeing, arguably, a little more pessimistic than some of your peers when framing 2023? So, again, color on that would be helpful as well.
Scott Wine: Well, I -- I don't -- obviously, was busy this week, but I didn't really digest the [CAT] [Ph] numbers overall. But I don't remember them being overly positive on 2023. So, I think we're somewhat in line with what that was on the Construction side. Where we're really under-serving our dealer network with heavy excavators, and we're working diligently to improve that. So, that's a significant opportunity for us. But that's where some of the backlog reduction has been just because we cannot deliver in that area. On the light side, we've got just really good progress with Sampierana, and it will start to bring -- expand the markets where we can serve with that. But South America was very strong for Construction last year; we don't expect that to repeat. So, that market will be a little bit -- from a Construction side, be a little bit lighter than it was last year. But overall, again, it's going to be a positive year. Stefano and his team are doing a nice job with that business, and we like where it's going. And it's got a long-range upside for sure in that business.
Mig Dobre: Okay. And then if I can try the price-cost question as well. Looking on a consolidated basis, it looks like you've had positive price cost of about $180 million the past couple of quarters. And as you contemplate 2023, I'm wondering if this figure holds or if we should expect any significant variance from that?
Oddone Incisa: No, directionally, we expect to be positive price-cost in 2023 as well. So, I wouldn't take much different view of what we are seeing. And in absolute terms those are going to be different, but I wouldn't take a much different view of what we have seen throughout 2022.
Mig Dobre: Great, appreciate it.
Operator: And our next question comes from Marta Bruska from Berenberg. Please go ahead.
Marta Bruska: Hi, good afternoon. Thank you for taking my question. And if you don't mind, please, it would be helpful to hear your thoughts on the pricing environment [indiscernible] so, specifically, given the industry, in the past, some of your competitors would hand out a steel discount where the raw had to start to normalize a little bit. But to my understanding, this haven't been the case in 2022. At this price, they're already positive [indiscernible]. I was just wondering whether you see anything at all that would suggest that this would change in 2023 or with the risk of some of your competitors giving -- or starting handing out steel discounts with the dealer, and how would you react to that? And then I had one more, please.
Scott Wine: So, we are still expecting inflation to impact our business, and therefore our supply chain in 2023 to a lesser extent than it did in 2022, so a declining rate of inflation, but still seeing inflation. So, we've seen a decrease in some areas, but overall the cost that we're paying is not coming down. So, we don't intend and in fact, we're still going to have to price, going into 2023, again, at lower levels because of the lower increases. But we don't see a decrease in pricing. And that, again, that the quality and innovation that we're putting in our products would suggest that we don't need to go start competing on price. And I think the industry, overall, is likely going to take that approach.
Marta Bruska: Perfect. Thank you. And then I was just wondering with all the big tech cutting the workforce, were you able to benefit from the opportunity to cut into the tech talent pool for your Precision AG, kind of hiring from the pool, please?
Scott Wine: That's actually something I have been pushing the team on for quite some time. I mean, we've -- we have done a significant hiring with our technical team, Precision and Autonomy. But many of the layoffs are not actually the programmers and engineers. So, we don't really see that as an opportunity. And we did most of our hiring in '22. We'll probably slow down a little bit. But to the extent that we can bring on great talent at more reasonable prices because of what others are doing. But certainly our commitment to accelerating value that our customers get from Precision and Autonomy is there. And we'll -- we are continuing to hire in '23. So, but no, there's not a significant opportunity for us there just because of where we're hiring and where those -- most of those employees are located.
Marta Bruska: Very clear, thank you.
Scott Wine: Thank you.
Operator: Now our next question comes from Nicole Deblase from Deutsche Bank. Please go ahead.
Nicole Deblase: Yes, thanks. Good morning, guys.
Scott Wine: Morning.
Nicole Deblase: Can we just start by talking a little bit about what you're seeing with respect to used equipment values, any signs of moderation at all from such high levels, in '22, within AG or Construction?
Scott Wine: Used values are still hanging in there, just again because availability. And I'm not talking about low horsepower tractors because that's a different scenario, and we've seen that market stabilize at a lower. But at the high horsepower side and large AG, we're still not seeing large fleets anywhere in the OEM side or in the used side. So, prices are staying reasonably high.
Nicole Deblase: Okay, got it, thank you. And just thinking about the quarterly cadence of earnings throughout '23 versus normal seasonality, I would kind of suspect that you would see a return to normal seasonality. But if there is anything you guys want to comment on to think about throughout the year, that would be helpful? Thanks.
Oddone Incisa: No, I would say we will go back to the normal seasonality, which sort of we have seen in 2022 as well between production and retail sales. So, I would say, yes, going back to the normal.
Nicole Deblase: Thank you. I'll pass it on.
Operator: Thank you. We will now take our next question from Timothy Thein from Citi. Please go ahead.
Timothy Thein: Yes, thank you. Yes, first, Scott, it's interesting these -- I think these order board comment in the releases is kind of taking a life of their own. But I'm just curios, how does Derek and team interpret that? There's so much -- seems to be so much noise just in terms of how the world has unfolded over the last year or so, and how you and others have shifted to an allocation mode. Just really getting at the underlying significance of these order boards in light of just all the issues around timing of deliveries, meaning, you know, how significant are they, I guess that's the nature of that question?
Scott Wine: Yes, I would -- if I could call Derek up and getting on the call, I think you would hear a much more positive tone from him than how I think you are reading it. Obviously we are coming off an unprecedented demand, and I think we are seeing regional changes in that, but overall, the net portfolios are still reasonably good. The collection what used to have is, as you would open up the book and see it for an hour and we still see that in some markets, but generally speaking, it's slowing a little bit in Europe, in low horsepower tractors in almost all markets. But overall, I mean I think a lot of what we are seeing -- we didn't expect it, but the Lula election in Brazil really caused a lot of pause for farmers in a region, and that has been so good for us, and we expect it to be, but it's taken, I would call it a ,"Pause," in orders there. But overall, that market having just been there recently is very, very strong. So, I think it's a matter of timing, and we are trying to manage that properly. But I think Derek's managing the business extremely well, as you have seen by the execution, and that includes on the sales side to make sure that orders and retail orders come through, and he is not at all sounding an alarm, he is just putting the right measures in place to make sure that we deliver on a solid year in '23.
Timothy Thein: Got it, got it. And back to your earlier comments about this dealer, and again, I think the low horsepower market weakness, and I guess it gets pretty well telegraphed and known at this point, but just again, sticking to large ag, obviously far more significant from a bottom line perspective for CNH, the notion that dealer -- any sort of dealer stocking or restocking is likely not happening in '23. So, presumably that could pose some tailwind as we -- you know, '24 is long ways off, but that's still in front of the company as a whole. Is that a fair takeaway?
Scott Wine: I think some markets will get back to reasonable levels of inventory, but I don't like -- I mean we want to be -- our goal, our intent is to make sure as we manage and protect our own cash flow that we do the same for our dealers, and so that takes discipline to do, and that's the discipline that we are going to have as we go through this. The end of the year was a little bit tricky for us, because it was so much very good work done to complete this in the significant fleet inventories we had literally all over the world, where we just were missing components and we needed to finish those get them build and tested out to dealers. And the team there has done a nice job with that, but it happens so much at the very end of the quarter, we ended up with more inventory in some places that has retail orders, the customers are going to pick it up right away, we just didn't get it there in time for that to happen. So, I think the end of the year inventories aren't really telling great stories, especially in North American market, where that was significant, but overall, we feel like there is just a tremendous opportunity for us to keep our factories running and produce for retails customers at this point, and possibly at the end of the year, start to get dealer inventories back, when I say, "Back up," it means it's up to acceptable levels, not up to historical levels.
Timothy Thein: All righty, thank you.
Operator: Our next question comes from Michael Feniger from Bank of America. Please go ahead.
Michael Feniger: Hey, Scott. Thanks for taking my questions. I believe you phrased that 2022 was the year priced, 2023 is the year cost, just wanted to understand this a little bit more. If you look at 2022, can you quantify some of the costs embedding the model attributed to premium freight transportation, just buckets that like cyclically won't -- that cost won't be elevated in 2023?
Scott Wine: Well, you hit a big one, we have already seen it started to come down, being transportation cost, you know, just cargo boxes, all of that stuff. We've seen that start to give way. And way our contracts are we don't always see it right away. But nevertheless, that is - that's one. And overall, we are just not seeing the spike in prices. Again, inflation is there. We are dealing with it. I think team's proven our ability to manage that. Semiconductors have also come down. So, that's it. That are much reasonable or I guess acceptable level for us. But overall, prices are going to be higher for us in 2023. But when I talk about it, we are looking at the entire business portfolio. And saying what costs have be incurred through the pandemic. And then in response to pandemic where we had to ramp up so quickly to do our customer orders. And how do we get back to running the business very efficiently. And that's the work. When I talk -- we talk about cost, it's getting after that efficiency in all aspects of the business that we might have lost a little bit of during last couple of years.
Michael Feniger: Understood. And we just went through the order book comment, but you did also made a comment earlier I think to Jamie Cook about 2024 could be a more difficult year. Many economists actually in 2024 could -- they could be seeing the global economy expanding. So, I just wanted to narrow in on that a little bit. Why do you think 2024 can just become a more challenging year as you said?
Scott Wine: Remember, we are significantly more exposed to the ag cycle than we are to the global GDP. So, we call it an ag cycle for a reason which means that it is not a flat line. And it doesn't go in one direction forever. And we have had a very high market, and I am not actually not at all talking about a peak year, but I am just saying we had a very strong market here. And I am acknowledging with other global inputs that may at some point impact ag demand. '24 may be a year that isn't as strong as others. I mean that's not a negative. It's not a negative comment. It's just a fact actually.
Michael Feniger: Alright, understood. Just to squeeze one last in like you did see this inflection in your industrial net debt, ahead of times, some of the cash generation from the business in '22. Just -- I know you are aggressively investing in a business. How can we think about the fact that you inflected on your industrial net debt ahead of time? And how should we think about that in terms of potentially share repurchases to kind of close maybe your valuation discount to peers? How you kind of look at that? I know you are aggressively investing in R&D and CapEx. But just lever to pull, how are you thinking of that?
Oddone Incisa: So, let me take this one. We set very clearly our capital allocation priorities. We say that we are investing more in R&D, as you pointed out. We stepped up our dividend. In 2022, we went back in doing share repurchase at levels that probably we hadn't done in the past. We want to continue doing share repurchases in 2023. So, that's part of the mix that we have in there. And then, we also want to have some availability for some sort of M&A in particularly in the tech space if that helps profitable growth there.
Michael Feniger: Thank you.
Operator: Thank you, all. And now we have time for one final question, [indiscernible] from Goldman Sachs. Please go ahead.
Unidentified Analyst: Hi, thanks very much for taking my last question. I guess I just wanted to touch on cash. Your guidance for '23 sort of sees weaker cash conversion. So, I was wondering maybe you could just comment a bit more on what you are seeing there? And sort of what the moving parts are? Thank you.
Scott Wine: Yes. Again, I'll use the opportunity to answer your question just to thank the team for delivering such strong cash flow in the fourth quarter, which gave us a reasonable for the year. We are expecting another billion dollar-plus I think to $1.3 billion to $1.5 billion range of cash flow in 2023. But we are spending several hundred million dollars more in CapEx. Again, part of our strategy is bringing new products to market that do allow us to have higher gross margins and gain market share. So, those things don't come free. So, we are going to spend more money to get that, and that's really the key driving factor of it. We will still be discipline with inventories and managing that, but that will be the differentiator between year-over-year cash flow generations.
Unidentified Analyst: Fair, thank you.
Operator: Thank you. This concludes today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.